Operator: Ladies and gentlemen thank you for standing by and welcome to the BankUnited Third Quarter Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to hand the conference to your speaker today, Susan Greenfield, Corporate Secretary of BankUnited. Please go ahead.
Susan Greenfield: Thank you, Lis. Good morning, and thank you for joining us today on our third quarter results conference call. On the call this morning are, Raj Singh, our Chairman, President and CEO; Leslie Lunak, our Chief Financial Officer; and Tom Cornish, our Chief Operating Officer. Before we start, I'd like to remind everyone that this call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 that reflect the company's current views with respect to, among other things, future events and financial performance. Any forward-looking statements made during this call are based on the historical performance of the company and its subsidiaries or on the company's current plans, estimates and expectations. The inclusion of this forward-looking information should not be regarded as a representation by the company that the future plans, estimates or expectations contemplated by the company will be achieved. Such forward-looking statements are subject to various risks and uncertainties and assumptions, including, without limitation, those relating to the company's operations, financial results, financial condition, business prospects, growth strategy and liquidity, including as impacted by the COVID-19 pandemic. The company does not undertake any obligation to publicly update or review any forward-looking statements whether as a result of new information, future developments or otherwise. A number of important factors could cause actual results to differ materially from those indicated by the forward-looking statements. Information on these factors can be found in the company's annual report on Form 10-K for the year ended December 31, 2020, and any subsequent quarterly report on Form 10-Q or current report on Form 8-K, which are available at the SEC's website, www.sec.gov. With that, I'd like to turn the call over to Raj.
Raj Singh: Thank you, Susan. Welcome, everyone. Thank you for joining us for our earnings call. Let me make quick few remarks about what we are seeing in our markets before we get into our results. Three months ago, when we met you on this call Delta was beginning to surge, Florida seemed to be caught up in it more than probably any other state. And there was a lot of concern as to whether that will the effect the economy and to what extent. I am happy to report three months into it, now, Delta seems fairly in the rearview mirror. I checked the numbers just a few minutes before this call, I think, they have come down to even lower than they were three months back. So, we're happy about that. What we are most happy about is also that it did not actually have the same kind of impact that previous surges have had on the economy. I think the economy is learning to live with these surges as and when they happen. Hopefully there won't be anymore, but at least over the last three months, we did not see a significant impact to the local economy here or in other parts of the country where we do business. But it's good to see Delta behind us obviously with a fair amount of pain that everyone took on the healthcare side. The Delta surge did put our plans about return to office on hold a little bit. We have started bringing people back in at the summer. We have to take a pause. Later today I will be making a call internally and we will be talking about how we're going to restart that process. Our expectation is that by January, first week of January, we will be in the new normal and between now and then slowly start bringing people back. We're going to start that, believe it or not, even for board meetings. We've not had an in-person board meeting since the start of the pandemic. Yesterday the Board met telephonically and decided it was time to start meeting in-person. Our first in-person Board meeting, which will be over two days in the middle of November, so I'm excited about that too. Overall, the economy here in Florida is doing well. There are obviously widespread labor shortages and supply chain disruptions that everyone has talked about. We are seeing that, our customers are feeling it, indirectly we're feeling that as well. But talk to me to say when those will resolve themselves, but that is the challenge that we're dealing with. I look at this, the biggest economic crisis of our lifetime that we went through 18 months into it if all we're dealing with is supply chain issues and labor shortages, I think, that's a pretty good place to be. This is going to happen a lot more. So, I take this as actually a victory that these are the issues, this could have been a lot worse. So, I've tackled more wherever we are and how this pandemic has been resolved. Quickly getting into our quarter, we posted net income of $87 million or $0.94 a share, this compares to $104 million we posted last quarter, which was a $1.11 per share. The annualized returns so far for the nine months, so far, our return equity is 12.4% and return on assets of 1.09%. Net interest income declined slightly to $1.95 million from $1.98 million last quarter, but it was up compared to the third quarter of last year, which I think, at that time it was $188 million. NIM contracted to 2.33% from 2.37% mostly because of lower asset yields and less than expected commercial loan growth, also less PPP impact this quarter versus last quarter, it was also a large reason for that contraction of NIM. Cost of deposits, as we've been telling you, continues to come down. We dropped 20 basis points this quarter. It was 25 last quarter, so 5 basis points reduction in the cost of deposits. On a spot basis we were actually at 19 basis points. And I checked last night, we're down another basis point to like 18 basis points as of yesterday. So, the story on the deposit side continues, we also had decent growth in deposits, especially DDA, non-interest DDA grew by $324 million. Total deposits, strength but we did that very meaningfully, we're not trying to growth the balance sheet. Growing balance sheet and hanging things up in liquidity. That does not really create value for anyone instead this quarter, we decided not to build the balance sheet, we shrank it and free up capital and bought back stock quite strongly. In fact, one of the things that we did yesterday, when we met is approved another a $150 million buyback, given that we are going to wind down the authorization that we have based on how we quickly we bought the stock this quarter. Also, the fact that the stock was around $40 or so makes it very easy. From my perspective given where our book value is we're trading at such a low multiple it's so easy it doesn't take much of rocket science to figure out that it’s a good buy. So, we've been aggressive in buying back and we’re gone through much of the authorization. Loans, total loans excluding P2P runoff grew by $74 million. Residential business remains strong as has been the case, the last several quarters. Commercial segments payoffs outpaced production. On the production side actually, we were pretty happy. Our production, we tried to go back and said, okay let's see what we were doing pre-pandemic and we compared to production this quarter to the third quarter of 2019. Production was actually higher this quarter. But it's two things that, we can't control one being payoffs and the other line utilization, those have been disappointing this quarter, which is why it all adds up to only about $74 million of growth in the loan portfolio. What else? Credit, I would say nothing but good news on the credit front. I know these days credit is not on people's mind it should always be on everyone's mind. That's the primary risk we take as a bank. So, I'm happy to report on the credit front, criticized and classified assets declined by $240 million, loans that are in temporary deferral or modified under the CARES Act also declined to $285 million. They were $497 million, I believe, at end of last quarter. So almost cut in half.  NPA ratio also got better. It was 1.21% this quarter, last quarter it was 1.28%. By the way that includes the guaranteed portion of SBA. So, if you exclude that NPL ratio is actually 99 basis points. The $69 million large commercial loan that we spoke to you about last quarter, the resolution of that it's moving forward. We're pretty happy with how we reserve for it and feel pretty comfortable in that level of reserve. Net charge-off, annualized was 19 basis points. Last year, I think, we were at about 26 basis points. So good news on the net charge-off front as well. Capital, book value has grown to $34.39; tangible is at $33.53; and of course, as of September 30, what we had $58 million left in the share buyback, but we're adding another $150 million to that. And going forward in terms of buybacks, again, we will remain opportunistic given the volatility in the stock market. And we will continue to execute on that. Before I hand this over to Tom, I need to say sort of what are the top things in my mind, in terms of what we're trying to achieve in the short to medium term payout. It’s basically loan growth, but not reaching for growth as and getting caught up in that and going outside of a risk swap, that's not acceptable. But loan growth we’re starting the growth engine on the left side of the balance sheet is our priority. Continued to proven deposits while we've made a lot of progress on that, I think, there's more work to be done there, especially in light of the fact that eventually rates will rise. Maybe nine months, maybe less, maybe a little more, but some way or form a raising rate environment and we have to be ready for it. And we're basically working on our deposit business to be to do just that. In the very short-term return to our office safely is another priority. And then we are launching in new markets. The new markets that we talked about last time to you we don't really have much to share yet because it's not ready for prime time, but we have been working for the last three months on finalizing and hopefully over the course of next few months we will make some announcements and launch one or two new markets. With that I will turn it over to Tom, who will get a little deeper into the numbers before Leslie, then gets into the P&L.
Tom Cornish: Greg Raj. Thank you. So, I wanted to spend a little time first on deposits, give you a little bit more detail and perspective on some of the things that we're working on and what we achieved in the quarter. So, as Raj said, average non-interest bearing deposits grew by $749 million for the quarter and $2.7 billion compared to the third quarter of 2020. Period end non-interest bearing DDA grew by $324 million while total deposits shrank by $493 million. So, let break down a little bit the $324 million at NIDDA growth for the quarter it was again, broad spread across all geographies, across all business units and very heavily focused on new client acquisition. I’d also spend a little bit of time working on the deposit portfolio, the work that Raj is talking has been a daily level of kind of bruising work that's not that glamorous, but we're working very hard on new account operating relationships, cross selling within the book, ensuring that ECR rates are set at appropriate levels, really working hard on kind of the building blocks of this. And I think the two places that you see it, number one are the continued NIDDA growth obviously in the $324 million, but also secondarily, if you look at service charges, deposit fees, on accounts was up 33% for this quarter compared to the same period last year. So, we're really starting to see excellent kind of cadence and rhythm, in both continued NIDDA growth continued opening of new operating account business, which is really our central focus as a strategy and continuing for surging in the level of service charge revenue that we have from these accounts. So, all of that is, is a big part of what Raj talks about when we're talking about the entire deposit mix and the quality of the deposit book. A little further down, money market accounts declined by $1.1 billion this quarter as we continue to execute the strategy of the quality of the base, we have looked hard at. Accounts that we think are highly susceptible to increases in rates once we get into a different interest rate environment and we've taken a lot of steps to ensure that we're moving out deposit accounts right now on a proactive basis, as we continue to grow the operating account business and take advantage of that entire dynamic to have – just an overall better-quality book. Switching to the loan side, as Raj said, excluding PPP loans the total portfolio grew by $74 million in the third quarter. Residential continued to be strong reflecting the strength of the housing market and the rate environment. The overall resi portfolio group by $751 million for the quarter; off that the EBO segment was $50 million and the pure residential correspondent portfolio group by $701 million. In the mortgage warehousing business, which is also benefited from a strong housing market, there we saw decline of $141 million for the quarter, most of that is starting to see normalization in this segment. This refi activity begins to moderate and we see a little bit lower line utilization in this area. Although we continue to be interested in growing commitments and expect our commitment book to grow in the short-term. For the C&I business, it was up $13 million for the quarter including owner occupied CRE loans and I'll talk a little bit more about what we see in that segment. The remaining commercial portfolio declined for the quarter. The largest decline was in CRE including multifamily, which was down by an aggregate of $317 million for the quarter. The New York multifamily portfolio, which you have been following now with us for a number of years declined by $76 million for the quarter, but at this point we believe that that's stabilizing, that's the lowest level of runoff that we have seen in a number of quarters. And we're actually starting to see some positives in the multifamily market, in New York. I'm sure you all have followed that. We're starting to see rent increases in the market. We're starting to see people return back to the New York City multifamily market. Schools are reopening and things are happening that are driving people returning to the city. There has been an awful lot of data out in the last couple of months about rent levels even with concessions, improving back to sort of pre-pandemic levels, and we're looking at new opportunities now in the multifamily space within the New York market. So, we're feeling better. We're feeling about the portfolio. We have today at the current level that it's at and we're feeling better about the short-term growth opportunities within multifamily in New York. I'd land a little bit more on Raj's comments about production. When we looked at production across the commercial lines especially the C&I, CRE and small business areas, it was better than pre-pandemic levels for the same quarter. We are seeing a reasonable return of pipeline, particularly really in the C&I area where we have a large pipeline heading into the fourth quarter and the first quarter of next year. So, we're seeing clients investing more. We're still fighting through kind of low utilization rates, and even really the accounts that we're bringing on from an NIDDA perspective that have lines of credit with them. Even those lines are coming in at pretty low utilization rates, but we think ultimately that that patience will pay-off for us and as people start making more CapEx expenditures and growing more solidly in 2022, we believe these relationships including the existing ones we have we'll start to see improvements in these areas, but actually overall production and pipeline build we feel pretty optimistic about right now heading into the fourth quarter and heading into 2022. Yes. Line utilization bottom down in the first quarter, started to improve all through the second quarter. So, we were pretty optimistic because we were seeing a very steady trend of improvement. But in the third quarter, they've really stagnated. So, it hasn't gone down, but it really hasn't come beyond where it was in the second quarter. And to translate from the new business that we're writing, the line business it comes on, the utilization level especially in that new business is very low, lower than existing book as well. So, it's all dry powder. So, when these bottleneck and the economy are resolved, this should create growth, but it's hard for me to say is it's going to happen a quarter from now two quarters or three quarters from now, but that's sort of what we're seeing. Leslie?
Raj Singh: That Tom you are done?
Tom Cornish: Yes. No, I was just…
Raj Singh: I am sorry. I am sorry. Go ahead, Tom.
Tom Cornish: I was going to give the PPP update.
Leslie Lunak: Cut Tom off.
Tom Cornish: As for PPP, $159 million of the first draw PPP loans were forgiven in Q3. As of September 30th, there was a total of $49 million in PPP loans outstanding under the first draw program, and $283 million of outstanding under the second draw program. We expect to open the forgiveness portal for the second draw program next month. But obviously this is kind of winding down at this point. Quick update on deferrals and CARES Act modifications Slide 16 in the supplemental deck also provides more detail on this. For commercial, no commercial loans were on short-term deferral. As of September 30th, $244 million of commercial loans remained on modified terms under the CARES Act compared to $436 million at June 30th. The largest decline in loans modified under the CARES Act was $144 million decline in Hotel portfolio. The Hotel portfolio particularly in Florida continues to rebound and if you try to get a hotel in certain areas of Florida, lately good luck, particularly in the keys and other coastal properties, just the occupancy is really returned strongly there. So, we're feeling good to see that change come about. To date $414 million in commercial loans have rolled off modification. 100% of these loans have either paid off or resumed regular payments. From residential perspective, excluding the Ginnie Mae early buyout portfolio, $40 million of loans remained on short-term deferral or have been fight under the longer-term CARES Act, prepayment plan in September 30th. Of the $533 million in residential loans that were granted an initial payment deferral, $493 million or 92% have rolled off. Of those that have rolled off 95% have been paid or are making regular payments. I think the last thing I'd say on the loan portfolio is also when we look at the $74 million in growth. I keep in mind that we had $175 million of payoffs in criticizing classified loans. So, while it certainly impacted the loan growth number, it contributes to the overall improvement in the credit quality and we're happy to see that. So, with that, I'll turn it over to Leslie.
Leslie Lunak: Great, thanks, Tom. Give a little bit more detail on the numbers for the quarter, starting with the NIM. The NIM did decline this quarter to 2.33% from 2.37%. The PPP fee recognition had a bigger impact on the NIM last quarter and this quarter if we factor out the impact of PPP fees and the impact of increasing prepayment speeds on some of our securities, the NIM actually would've been flat quarter-over-quarter. Loan growth was ready this quarter, not commercial had we seen more commercial growth as opposed to residential growth, we likely would've seen some uptick in that NIM. The yield on loans decreased to 3.45% from 3.59% last quarter. Recognition of PPP fees, the differential in net quarter-over-quarter it hadn't been for that, the yield on loans would've declined by only 6 basis points for the quarter. And most of that 6 basis points really was attributable to the shift from residential to – or from commercial to residential, sorry. Eventually, obviously we believe that pendulum will swing back the other way. I know you're going to ask me, so I'll answer you now, there's still $8.1 million worth of deferred fees on PPP loans remaining to be recognized almost all of that $8 million relates to the second draw program. So, I don't really think we'll see much of that in the fourth quarter. Yield on securities declined from 1.56% to 1.49% and accelerated prepayments, which we think someday has to come to an end, but keeps not coming to an end. It just keeps getting faster on mortgage back securities accounted for almost all of that quarterly decline in yield. Total cost of deposits declined by 5 basis points quarter-over-quarter. The cost of interest-bearing deposits down 6 basis points. And our best expectation right now is that NIM would remain relatively stable over the fourth quarter. But obviously there are things that contribute to that that are a little bit difficult for us to predict, but that's our best expectation as of now.
Raj Singh: And we can comfortably say the cost deposits will continue to drive for at least two more quarters.
Leslie Lunak: Yes. With respect to the allowance and the provision overall, the provision for credit losses for the quarter was a recovery of $11.8 million, Slides 9 through 11 of our deck provide further details on the ACL. The ACL declined from 77 basis points to 70 basis points over the course of the quarter. Most significant drivers of that change a $2.3 million decrease related to the economic forecast, this is becoming less impactful than it has been in prior quarters, which is not surprising as things start to stabilize. A $4.5 million decrease due to charge-offs. Another $3.7 million due to a variety of changes in the portfolio, including the mix of new production and exits the further shift to loan segments with lower expected loss rates, primarily residential impact on PDs of an improving borrower, financial performance, risk rating changes, et cetera. And a $5.9 million decrease in the amount of qualitative overlays and this is mainly just shift things that are now being captured by the models this last quarter we didn't think the models were adequately capturing. The largest component of the reduction in the reserve was the CRE portfolio. The CRE model is particularly sensitive to unemployment, which improved this quarter. And the commercial property forecast also improved particularly for retail and multifamily, where we saw improving forecasted vacancy rates. There was also a reduction in criticized classified pre-loans, which impacts the reserve. We also saw the resi reserve come down, this was caused by residential loans, continuing to come-off deferral and resuming payments and changes in the economic forecast related to unemployment and long-term interest rates also had an impact. I'll remind you that almost 25% of the resi book is government insured and actually carries no reserve. C&I reserves actually picked up a little bit as a percentage of loans this quarter. With respect to risk grading migration, you see – you can see some details on this and Slides 23 through 25 of our debt. The total criticized and classified commercial loans declined by $240 million this quarter. Most of that was the substandard accruing category, which declined by $252 million. Special mention ticked up a little and substandard non-accruing ticked down a little. Total non-performing loans decreased to $277 million this quarter from $293 million at June 30th. The declines in criticized and classified assets really occur across pretty much all portfolio segments and with the largest decline in CRE. Looking at other income and expense, there's not really anything material to call out this quarter. On a year-to-date basis we had initially guided to mid-single-digit increase in non-interest expense, and that still looks like where we're likely going to land by the end of the year. And I would also note the 33% year-over-year increase in deposit service charges and fees, which Tom mentioned, and we're pretty happy about that. ETR was a little lower this quarter, mainly due you a temporary reduction in the Florida tax rate. Last point I'll make, you'll see in the next couple of weeks we'll be Filing an S3, a shelf registration. Don't read anything into that. So, you all don't feel like you need to call me our shelf. registration is expiring and we just want to have an active shelf on trial. We're not planning anything, so, but you'll see that. Sorry I'll go over to Raj for any closing remarks.
Raj Singh: No. I'll turn it over for Q&A. Let's jump into it.
Leslie Lunak: Okay.
Operator: [Operator Instructions] And our first question coming from the line of Ben Gerlinger with Hovde Group. Your line is open.
Ben Gerlinger: Hey, good morning, everyone.
Leslie Lunak: Good morning, Ben.
Raj Singh: Good morning.
Ben Gerlinger: I was wondering if we could start on loan growth in general. It was great color and commentary from opening remarks. I was curious if you guys could take a minute to kind of just walk through the competitive aspects of the markets that you're working in. It seems like some competitors are doing a little bit stronger loan growth, but kind of just backing to the map they're probably doing at a lower rate. So, with the payoffs you are seeing in the line utilization, somewhat plateauing recently, are there areas of kind of low-hanging fruit that we should do expect to see in terms of growth and kind of the dynamics you're working through? And then any update on the potential lift outs and more granularity would be helpful?
Raj Singh: Sure. In terms of production as Tom said, if you just look at growth production levels, we were pretty happy with where the quarter came out. The only place where we're not active and very deliberately pulled back are areas that are still impacted by the pandemic. So, we're still not, for example, leaning into hospitality or areas such as even office on the CRE front. But everything else, small business, corporate, commercial business, and other aspects of CRE warehouse, industrial, multi-family, we are seeing pretty decent production. But we're seeing an enormous amount of payoffs. It just doesn't end. So, I think, all of that adds up to the numbers that you see. Where we're seeing inordinate competition from a rate and structure, I would say it’s LIFOs that are doing very long-dated IOs, going out 10 and 15 years that we refuse to compete in that space. It’s always been out there, but I think, it's gotten very pronounced in the last few months. Very long dated 10- 15-year paper interest only and I just don't think that fits our risk appetite.
Tom Cornish: Yes, I would probably add when we use the word payoff, I would spend a little bit of time talking about what payoffs mean. And largely payoffs for us are not clients that are leaving to go to a different bank, they are clients that are selling their companies, particularly within the C&I book. I mean, the level of M&A activity right now is just incredibly strong and it's not only deep in larger businesses, typically a couple of years ago, you would not see significant M&A activity in kind of your commercial lending businesses.
. : I mean, these are deals for different kinds of companies that have different cost of funding and stability streams of funding to be able to support that. In the markets that we're in I wouldn't say there's any low-hanging fruit we're in competitive places, and it's sort of a daily fight to do well. There are certain aspects that we're trying to focus on a little bit more going forward, certain spaces that we see, we have added a fair number of producers in the last quarter, we have several offers out this quarter. And so, reinforcing our teams, both in the markets that're in, and in the expansion markets that we're thinking about is a big part of the strategy.
Ben Gerlinger: Got it. Okay, that's helpful color. I appreciate that. And then Raj just thinking kind of the bigger picture now I would consider, you'd be kind of a top tier steward of capital, you have a great leadership thinking for the longer term. So, kind of everything you said of the strong production payoffs are going to come and go, but they are really a little bit out of the control of the bank, seems to have a pretty good handle on credit and your margin is that a sensitivity should be a little bit helpful as rates do increase. So, given where the stock is today why not do something more aggressive in terms of a share repurchase? I understand that you did a pretty sizable one the third quarter, but what's preventing kind of making hay when the sun is out in terms of the current valuation today, I'm doing something more aggressive, potential, even in Dutch.
Raj Singh: Yes, I mean, I don't have the exact numbers in front of me, but give or take $150 million, which is 5% of our capital we bought back in less than a quarter. So, I'd say we were fairly aggressive. The quarter before that stock was at an all-time high and we set that one out. Plus, we were also trying to see will loan growth come back or not. So, our philosophy on stock buybacks before the pandemic used to be, we'll just do a little bit every day, we're not going to worry about exactly what the stock price is. This year has been a little different. We have been more opportunistic, more leaning into it when stock is lower and backing away when it's higher, because I just see a lot of volatility even now. For the next several months, I think, there will be ups and downs, nothing to do with us, just the market, right. One piece of bad news from Dr. Fauci or from somebody else. And you can have big movements in the stock market. So, we will use that to our advantage. We're authorizing another $150 million between those two authorizations and what we started the year with, which was another about roughly $40 million, that's a lot of stock in a year and we'll keep doing more. And it's not like we're going balance sheet, you saw our balance sheet shrink $400 million this quarter. So, until we see line utilization, come back and roads squarely in front of us, we'll continue on the strategy. We have fairly good amount of room here given our capital position, which is so strong.
Ben Gerlinger: Okay, great. I appreciate I'll step back in the queue.
Raj Singh: Somebody just waved to me and said it's $130 million…
Susan Greenfield: For the quarter.
Raj Singh: For the quarter. So, I was rounding the numbers there, not quite $150 million, but $130 million.
Operator: Our next question is coming from the line of Dave Rochester with Compass Point. Your line is open.
Dave Rochester: Hey, good morning, guys. 
Leslie Lunak: Hey Dave.
Raj Singh: Good morning.
Dave Rochester: Back on the buyback topic, you just mentioned, Raj, you'll keep doing more beyond this buyback. I was just curious as you are looking at your excess capital position, how much do you think you've got in excess, because you'll be growing loans hopefully faster next year. Just curious how you think about that?
Leslie Lunak: Dave, we're kind of in the sick of our capital planning process for next year right now, and I'm going to defer providing specific guidance around that, I think, until our next call. I don't want to throw numbers out there preliminarily while we're in the sick of that process. But you're right, we do appreciate the fact that there's a lot of capital and there is room to go.
Dave Rochester: Yes.
Leslie Lunak: We're not done.
Dave Rochester: Now I guess, just given where the stock is and I think you already mentioned this, if we're in the low 40s for at least a good part of the quarter, maybe not that long, but it would seem like you would continue that that not necessarily aggressive, but being active in the buyback. 
Leslie Lunak: Yes fair.
Raj Singh: If the stock stays what it was it has been for the last three months, we will continue to buy.
Dave Rochester: Yes.
Raj Singh: If it goes up to $51, like it was the previous quarter, we'll probably pull back a little. So, we'll create it a little bit, yes.
Dave Rochester: Yes. That all makes sense. Okay. And then maybe switching to loans it was good to see some, net growth there, ex the PPP and it sounded like you are done on the New York City multifamily runoff going forward. And you mentioned some positive dynamics there. Are you guys thinking that maybe you could see some growth in that book here or are you thinking that just stabilizes? And then can you just give an update on some of the other areas where you've mentioned runoff expectations? I know you've seen some runoff on Bridge for a while. Are you good on that in the next quarter or so or do you think that that runoff looks into the next year?
Tom Cornish: Yes, let me take each piece of that. So, I think we're good at where we are in the New York multifamily portfolio right now. We're encouraged by the underlying trends with people coming back to the city, especially coming back into free market type property. We have pipeline for that product in Q4. So, we're expecting to do new loans in that segment in the fourth quarter. So, I would expect that it will stabilize and there's a better outlook for that asset class and that geography over the course of the next couple of quarters. As it relates to Bridge, Bridge, I would break into two separate components. One would be the equipment finance business, and obviously the second would be the franchise business. So, the franchise business was part of our fairly significant focus on asset improvement. We did see franchise, some parts of the franchise business, particularly fitness went through some real challenges in the COVID process. We did reduce the portfolio within fitness reasonably, significantly and we probably will continue to do that, especially in one concept. But the numbers at this point aren't as large as they were when we first went into it. We've actually done some new franchise lending. In the last 90 days, we're centering our strategy around what we think are the higher performing concepts, better delivery models, better pickup models in that segment. And we did actually fairly large loan this quarter we funded it in that segment. So, we do see opportunities within the franchise segment. I think within the equipment finance segment, it's a bit more challenging. I don't see as much runoff going forward, but when you look at that segment, the competition within the leasing business is extremely robust for CapEx schedules and it's difficult. We saw some investment grade opportunities this week for seven-year fixed rate loans at 1% that the market gobbled up. So, while the credit was certainly good, we took a pass. I mean, we just don't see a great risk reward return in that segment right now. And given where the interest rate scenario is one of the things that we're trying to be careful about is buying into very long-term fixed rate loans, at a very low level. Now they could come back to bite us as rates grow up, as rates head up. So, the equipment finance business, I'd be a bit less optimistic in simply because just the return dynamics are not very good in that business.
Dave Rochester: Yes. Okay, I appreciate all the color there. Maybe switching to deposits real quick, as you're trying to figure out what's maybe hotter money and what's not, how much more do you think you have to run off or that you want to move out at this point? And when do you think you'll get back to growing the book again?
Tom Cornish: Hey, listen, I define growth in the book as growth in DDA, not in total deposits. So, this quarter we had a total deposit declined $493 million, but I don't think that is an issue at all. That doesn't drive profitability. DDA grew $324 million, on average DDA actually grew a lot more because what was it, 700…
Leslie Lunak: $749 million.
Tom Cornish: $749 million. So, we're growing deposits that matter. It's hard for me to give you a number on what we want to chase out, but there is still – there are some large depositors. We also want to lower the average ticket size of the relationship. So, a lot of the growth that we're focusing on and we're paying our people for is really smaller ticket growth that doesn't create big numbers quarter-over-quarter, but it creates longer term value that's far more important for us than just large $30 million, $40 million, $50 million accounts. So, I'd take more consistent, slow growth that will stick with the bank for 10 and 20 years than take big, quick growth that won't. So, what you're seeing is that internal change in the deposit portfolio. It's hard to tell that from the outside, but inside we're focused, laser-focused on that bringing down and not paying – bringing down average relationship size, deeper cross sell, paying more for more cross sold accounts. So even within DDA there is a difference between DDA relationship one and relationship two, and we're distinguishing that and we're paying people differently. So, like I said, on the surface, it looks, our job is done. We're at 33% DDA to total deposits and cost of funds now in the teens. But I know that internally we still have more work to do. It may not change those ratios that much, it may not even move the cost of funds down that much, but it will improve the deposit franchise for the long-term.
Dave Rochester: Yes. Got it. Great. Thanks for all the color,
Operator: Our next question, coming from the line of Steven Alexopoulos with JPMorgan. Your line is open.
Tom Cornish: Steve you might be on mute.
Raj Singh: I think we lost him.
Tom Cornish: Yes, we may have lost him. Let's go to the next caller.
Operator: Our next question is coming from line of Brady Gailey with KBW. Your line is open.
Brady Gailey: Hey, thanks. Good morning, guys.
Tom Cornish: Hey, Brady.
Raj Singh: Good morning.
Leslie Lunak: Good morning, Brady.
Brady Gailey: Another one on long. Not necessarily near term, but Raj, when you look at BankUnited, when you look at the markets, you're in, especially there in Florida, over the next three or four years, or kind of longer term, what do you think is an appropriate growth rate to consider for BankUnited?
Raj Singh: I think if you look backwards in our history, there was a time when we were growing 25%, 28% a year. I don't think we ever return to that level. I don't think that's appropriate for a lending institution to grow. But at the same time, if I look at sort of what is a sort of 75 percentile level of growth, it probably is low double digits, give or take 10%. That would be an appropriate level. But that's generally made up of lots of highs and lows because there is no normal in any one time, right. We're living through a weird time right now, and we may be living through something very different a year from now. But if you were to just for modeling purposes, long term, think about it, I would say, that feels kind of like 10%, 11%, 12% both balancing left side and the right side of the balance sheet. But that is an approximation and an average of what can be a lot of low and highs.
Brady Gailey: All right guys. And then Raj I know you guys are not ready to talk about any new markets that you are expanding into. But can you just help us think about how big of a splash that's going to be, like when you go into a new market, will it be notably EPS dilutive with an earn back of a year or two? How big of a splash do you think you are going to make when you do decide which market to go into?
Raj Singh: Brady, we’ve entered new markets in the past. New York was sort of the exception because it was very unique. But when we entered Orlando, or Jacksonville, or even some of the newer businesses, that may not be a new market, but when we did Pinnacle or we did the warehouse business, pick any one of them, I don't think it materially impacts the bottom line for the first 12 months up or now, because we don't try to jump in and start doing hundreds of millions of dollars right it off the bat. We take a more measured approach at least for the first full year, because usually the team is new, you are trying to build into your culture, you are trying to get comfortable with them, and they are trying to get comfortable with you. And generally, we go through what all of your cycle before we start to put it into a higher gear. So, in three or four years, it will definitely be meaningful to the bottom line, but in 12 months, it's not. So, we never have had ran strategy or anything. It's always been, make some investments, some of them will pan out some won't. But we also don't want do anything, which will just be a distraction for the long-term and never really add anything to the bottom line. There are ideas like that that come up, which we swat away because we don't want get distracted by something within five years will be $300 million. That's also a waste of our time and resources. But anything we do the goal will be that over time, it will be, success will be measured in billions of dollars, but not in the first 12 months.
Brady Gailey: All right. That that's fair. And then the last question for me is on the PPP fees recognized in the quarter, I think, the last quarter was $4 million, it was $4 million. I think this quarter, you said it was down a little bit. What was the amount of fees recognized?
Leslie Lunak: It was less than a $1 million Brady, I think, around $800,000.
Brady Gailey: Okay.
Leslie Lunak: Yes.
Brady Gailey: All right, great. Thank you, guys.
Tom Cornish: Thanks, Brady.
Operator: Our next question is coming from the line of David Bishop with Seaport Research. Your line is open.
David Bishop: Yes, good morning.
Leslie Lunak: Good morning, David.
Tom Cornish: Hi David.
David Bishop: Hi. A quick question with the build in the residential mortgage this quarter. Just curious if that had a material effect? Do you expect to have a material effect in terms of your interest rate risk positioning, moving forward, just curious if that had much of an impact?
Leslie Lunak: No, not really Brady [ph] the balance sheet remains moderately asset sensitive. We hedge it at the top of the house. So, it really, isn't going to have a material impact on the interest rate risk position. 
David Bishop: And remind us in terms of loan floors, just curious what we might have to see from a – a movement from the Fed to penetrator have a significant impact on loan floors on the portfolio?
Leslie Lunak: No. Again, I don't think so. There, especially not with a movement from the Fed, I don't think you'll see a material impact from floors initially.
David Bishop: Got it. And then a housekeeping question.
Leslie Lunak: Operating expenses where we have floors that are operative today in the warehouse business; so it's not going to be that big of a thing.
David Bishop: Got it. And Leslie, how should we think about the effective tax rate? You said there was some noise this quarter, just maybe how that pans out into fourth quarter in 2022?
Leslie Lunak: Yes. I mean, it'll be down a little bit in the fourth quarter and the main driver of that is probably mill down around the 24% level. And the main driver of that is just that the Florida tax rate. Florida just enacted a law that reduced the 2021 tax rate to just a little over 3%. And then it goes back to normal in 2022. So, I guess we'll take it while we get it, but...
David Bishop: Got it remind me. And what's the normal rate for 2022?
Leslie Lunak: More than half.
David Bishop: Great, thank you.
Operator: Our next question coming from the line of Jared Shaw with Wells Fargo. Your line is open.
Timur Braziler: Hi, good morning. This is Timur Braziler filling in for Jared. If we could just circle back again on the loan growth, I'm just wondering how much visibility is there to the level of future pay down activity or M&A activity in the space. And then when you combine that with the low utilization rates, I guess, are we close to reaching an inflection point of kind of both of those stabilize and how meaningful could that inflection point be?
Tom Cornish: So, I'll answer them separately. When it comes to line utilization, we have almost no visibility. People don't give us a heads up when they are going to draw the line or pay down a line. We often find out the same day or the day before. Our M&A activity and payoffs happening for those reasons. We have maybe a month's worth of view, but it's not like we know a quarter out or two quarters out somebody's going to sell their company a building. We'll only find out when it's the payoff is maybe three weeks away or four weeks away. Production we obviously have a much better handle on. We know what the pipeline is – with a fair amount of certainty we know what we're closing this quarter. And we even know a decent amount for next quarter. There's always fallout that happens. Things get delayed and all that stuff, but we have enough practice over the years to know what percentage will actually pipeline will close and what will this physical way, what will slip that we feel pretty good about payoff and line utilization is, is much harder.
Timur Braziler: Okay. And maybe asking the payoff question in a different way; as much of that or do you get a sense that any of that is kind of pent-up activity from what didn't happen in 2020? Or are we in a new normalized level where we should just expect there to be more M&A activity moving down kind of market cap?
Tom Cornish: I think cost of capital has come down for everything. That's what is driving it. It’s a lot of money people have and they borrow at very low rates and so cheap money they will fuel M&A consolidation.
A –Raj Singh: Yes. I would say in many cases, even our clients that are purchased in M&A transactions, they themselves do not have visibility into it because they were not running a show. Many of these are unsolicited efforts by private equity to get into this space. I mean, normally if somebody's actually going to put the company up for sale and run a process. We tend to know that a little bit more in advance, but many of these are unsolicited moves by private equity to enter into certain industry segments with certain companies, and they kind of come out of the blue.
Timur Braziler: Okay. Understood. And then just, if I could just one more follow up on deposits, some of the mix shift there on the interest-bearing side. The movement out of the savings and money market accounts and the slight uptick in time deposits; are you trying to capture some duration? Are you getting any customers?
Leslie Lunak: Those two things are really unrelated.
Timur Braziler: Okay.
Leslie Lunak: The take up in time deposit, it's not like the money shifted from directly the money market bucket to the time deposit bucket. Those two things are actually unrelated. What comes in and time deposits kind of comes in we're not really making a push in that space. The money market run-off with Raj and Tom described to you earlier, more just reducing our exposure to some of these large accounts that we think may be price sensitive in rising rate environments. So, I don't really think there's a relationship between the two things
Timur Braziler: Understood. Thank you.
Leslie Lunak: But not a direct one anyway.
Tom Cornish: Receiving the whole price between 10 and 20 basis points for the most part.
Leslie Lunak: Yes.
Raj Singh: And each quarter, obviously we have runoff of what was a CD book that is maturing, and we have that this quarter and we'll see...
Leslie Lunak: So, it did pick up a little bit this quarter, but I think that was anything where we were out campaigning or advertising or anything like that.
Operator: Our next question coming from the line of Christopher Marinac with Janney Montgomery Scott. Your line is open.
Christopher Marinac: Hey, thanks. Good morning. I want to follow up on technology; Raj in a broader perspective, I mean, how do you feel your position now for your digital build-out. What is left to do – do you still think that you have what you need for the next five years for BankUnited?
Raj Singh: Yes. So, I've spoken about this at length in a lot of investor meetings. I think you'll never be done in technology. That's sort of the sea change in technology. I grew up in that mentality of; do we have enough to get to $50 billion or $70 billion or whatever? Do we have enough technology or do we have to do more spend? I don't think we can think of technology in those terms anymore. I think it is a constant spend because it is evolving faster. And I don't actually think of that as a negative thing. I think technology is what is driving business now. So, the more you spend on technology, it's almost like we should think about producers. You spend on producers to grow business. You never ever thought twice about spending on producers is a bad thing. I think it's the same with technology. It should enable business. It should enable solving customer pain points when you go find them and you can solve them, you can create an edge for yourself in the marketplace and you can capture market share. That's really the transformation that we've actually gone through over the last four or five years. So, to your question over the next five years, we know what we're spending on over the next 12 or 18 months. Those projects are on the fly, but there will be more stuff that will come after that, which we may not have identified today, but there will be budget that will be put in place. And we will find new niches and new customer pain points to solve and develop solutions for them, and then go sell them and get our market share. So, it is a big cultural change inside of banking and we are working heavily on commercial payments hub is what we call that, that's our big spend over the next 12 months or so, which hopefully by this time next year we will be live. But I'm sure there'll be some things which will go beyond that.
Christopher Marinac: Great. Thanks for that. And I guess from your perspective, your competitive position is still as good as ever, if not better as a result of what you've invested in.
Raj Singh: Yes, absolutely. It is, four or five years ago, maybe we were doing a little bit of catch up, but once we actually went onto the cloud invested in the platforms that we have, I feel pretty good about where we are today, but I never want to get complacent and say we're done now. We can actually just chill and have the IT team take a breather. There'll be no breather. There's always stuff that you will be working on. And I'm asking the front end of our company to work closely with the IT people, if we – all we do is sell our balance sheet. If we just buy and sell money, that is such a commoditized business, that you are not going to make an outside return on capital. You really have to start with defining a customer problem and then finding a solution that is unique and proprietary, solving it for that customer, and then going out and finding 10 other customers like that and trying to sell it, that that really is the heart of what we're trying to achieve medium and long-term. And that's a lot of the success you see in the deposit portfolio and some of the lending business we're doing. Yes, at the end of the day, of course, we make our money by spread income. We want people to take loans from us and put deposits with us, but they shouldn't do that just because we have the best price, they should do it because we solved a problem for them. And a large part of the deposit success we've had is actually that, products we invested in about three or four years ago. We don't advertise them too loudly for competitive reasons as you can fully appreciate, but that's really what it boils down to. In some ways that's what FinTech's are doing; if you think about it, right? They take a customer problem and they go and solve it. It's a very narrowly defined customer problem, but then they solve it really well. And they are good economic rents for solving that, and we're trying to do the same thing more on the commercial space.
Christopher Marinac: Great. Raj, thank you very much for the background. Appreciate all the information this morning.
Raj Singh: Thank you.
Operator: Our next question coming from the line of Samuel Varga with Stephens Inc. Your line is open.
Samuel Varga: Good morning. This is Samuel Varga from Stephens.
Leslie Lunak: Good morning.
Raj Singh: Good morning.
Samuel Varga: I wanted to go back just for a moment to loan growth and return into the residential and consumer portfolio where you had a pretty substantial uptake here. And I understand that $50 million of that has kind of explained out of the $750 million, so I wanted to ask where the additional $700 million of growth came from?
Leslie Lunak: Just our regular jumbo correspondent portfolio.
Raj Singh: It's hard to have completely smooth growth. I think if you go quarter-over-quarter, you'll see it up and down a lot. This quarter was high, but I don't think it was that high in the couple of quarters before that.
Leslie Lunak: But that's really that additional growth. I know you see the title residential and other consumer, but the other consumer portion of that is so insignificant that I keep asking people, can I just take that out of the title, and they keep telling me no, because it's in there. It's all residential or almost all residential, and the big chunk of the growth for this quarter was in our jumbo portfolio.
Samuel Varga: Understood. Thank you. That's very helpful; and then just turning to yields a little bit. Could you give some additional color on the kind of the delta between the roll and the roll off rates?
Leslie Lunak: So, I don't have the roll off rates in front of me. The roll-on rates and the residential book are running 2.45 to 2.50 and then the commercial book a little below three right now.
Samuel Varga: Great. And then on the securities book what sort of rates are rolling on these days?
Leslie Lunak: Over for the quarter average 1.20.
Samuel Varga: Awesome. And then I guess my next question would be if you could just give a sense for the effective duration of that securities book currently?
Leslie Lunak: The configuration of it?
Raj Singh: No, no, the duration.
Leslie Lunak: Oh, the duration. It's about 1.60; it's sub-2 and it has, it's been consistent for a long time, but about 1.60.
Samuel Varga: Great. Thank you very much. That would be all for me today.
Leslie Lunak: Okay.
Raj Singh: Great. Thank you.
Operator: Our next question coming from the line of Steven Alexopoulos with JPMorgan. Your line is open.
Steven Alexopoulos: Hey, can you guys hear me?
Leslie Lunak: There you are.
Raj Singh: Good morning.
Steven Alexopoulos: There we go. Good morning. Raj, I wanted to ask this question. So other banks are seeing elevated payoffs too, but they're also seeing stronger commitment growth. It looks like your commitments were up by less than 2% in the quarter. And even what you went through with the Delta variant, the impact basic less in quite a bit of Florida. I would've thought those commitments would've picked up. Do you have any color there?
Leslie Lunak: What – which commitments specifically?
Steven Alexopoulos: Commercial – commercial commitments.
Leslie Lunak: I don't think we've actually disclosed that number. Well, I guess that part in the deck. Yes, yes.
Steven Alexopoulos: It's in the deck, Leslie.
Leslie Lunak: Yes. That doesn't include the pipeline though Steven. That's the commitments on the existing book that you're seeing in there.
Steven Alexopoulos: Right. But as other banks are calling that out, they're seeing 5% growth quarter-over-quarter, think you guys are 1.5%. But just given Florida's fairly open economy, like what are you hearing from your customers? Are they not as optimistic on the prospects for their growth? It's just surprising that you're not seeing stronger commitment growth here.
Raj Singh: Yes. I wouldn't necessarily say they're not as optimistic is what they see for the future, in terms of the business. Some of that, it's hard to answer that in a real granular way without sort of having deep insight into what everybody else's book looks like. Some of it can be mix of business...
Tom Cornish: Actually, a lot of that is mix of business. We're not in some of the – for example, the capital call line business which you were discussing actually just before this call, we're not a big player in that business. That has seen a significant amount of growth. All the private equity discussion that we've had on this call, how active private equity has gone. We think about what businesses would actually benefit from private equity growing so much. It would be a capital online line business, which we're not in any meaningful way. So, I think it's a mix of business. Our lines tend to be formula-based lines against inventory and receivables. Well, inventories are struggling for all the reasons to read about every day in the paper. And shelves are not stock and shelves aren't going to get stocked and receivables aren't going to grow. We are going to lack with that. So, I think it has probably got to do with the kind of line business we do versus some of our competitors might do.
Steven Alexopoulos: Okay.
Raj Singh: Yes. I would probably also add Steven that, as we think about the sales team that we have and what we're asking them to do the, the deposit growth, the TM growth and other things are a very center part of what we're asking people to spend a great deal of time on. Loan growth obviously is a piece of that, but when we look at – when we look at the activeness overall of a potential client, it isn't just a commitment size number that's attractive to us. It's kind of a full banking relationship kind of number. And so, we're not as solely focused on commitment as being the predominant driver of where we put sales effort as much as we are, that's an important component, but as much as we are. Will this drive NIDDA growth? Will we get operating a TM business out of it? And is this a long-term applying for the organization that we find attractive?
Steven Alexopoulos: Okay. That's good color. I wanted to ask, so residential was strong this quarter on the loan growth side. Were you guys just more opportunistic given C&I coming in a bit light, or should we expect strong growth and resi to continue?
Raj Singh: I actually looking at the pipeline for resi right now, I don't think it will be a repeat of this quarter. I think a few things fell into place. Some of it was actually just things that rolled off from the previous quarter into this quarter. So, I think this was an outside quarter for resi. I don't expect it to be that strong next quarter.
Steven Alexopoulos: Okay. Thanks. And then finally, if I could squeeze one more. And Leslie on the other fee income line, what's putting so much downward pressure on that? I think it's down just under 30% now year-over-year?
Leslie Lunak: Yes. So, Steve, that's a kitchen sink line, I guess, is my best way to describe it. There's just a lot of things in there that could be up or down in any given quarter. I don't think there's anything going on in there that I would call a trend. A couple of the things that happened this quarter we actually had a negative mark on our commercial servicing rights, which in the overall scheme of things are very immaterial and come out of the SBA portfolio. There was a negative mark on some of our [indiscernible] this quarter. It's just kind of miscellaneous episodic things, none of which I think are indicative of any kind of trend.
Steven Alexopoulos: Okay. But is this level a decent run rate we should assume?
Leslie Lunak: Actually, no, probably a little higher actually is a better run rate. I think we had a couple negative things that went through there this quarter that I think we're kind of not normal.
Steven Alexopoulos: Okay. Great. Thanks for taking my questions.
Raj Singh: Thank you.
Operator: I'm showing no further questions. At this time, I would now like to turn the call back over to Mr. Raj for any closing remarks.
Raj Singh: Thank you very much for joining us. And we'll talk to you. Thank you. Stay safe, everyone.
Leslie Lunak: Bye everyone
Operator: Ladies and gentlemen that does concludes conference for today. Thank you for your participation. You may now disconnect.